Salvatore Palella: Hi, everyone. Welcome to our Q3 result call -- earnings call. This time -- first time we do on our space, much better for everyone to be part of this. 
 Also with me here is Gian Luca Spriano, our Interim CFO. 
Gian Spriano: Good morning, everyone. 
Salvatore Palella: We will wait another 2 minutes, and then we will start with the call. Thank you so much. Perfect. Thank you, everyone. A lot of people on the call. Very happy to have everyone on the call. A very busy week this week, our shareholder meeting. You guys all know we choose for a reverse split, 150:1, for December. We also got to have increase of the authorized share that will help us on the M&A. And we also clean up a little bit our cap through cancellation of the share B that expired last August.
 We saw a lot of vote coming from our shareholder vote, which we -- make us really, really happy. I mean a lot of people care about the company. And speaking about the company, here with me, Gian Luca Spriano, which is our CFO, actually, and with me from day 1 of the company. I think he never was in one of my space or was it really important to have him today. And I will leave him, Gian Luca, if you want to say some words. Thank you so much. 
Gian Spriano: Thank you, Salvatore. I am delighted to share the progresses that we are making towards enhancing profitability and long-term financial stability. Our strategic approach has been comprehensive, focusing on both efficient cost management and aggressive revenue growth. One example that comes to my mind is the city of Tampa. We just launched the past week, and our unique business model has set a benchmark for success. 
 We have strategically minimized fixed cost, which has significantly boosted our profitability in this market and will serve as a blueprint for our operation in other regions, showcasing our ability to adapt and thrive in varied market conditions. 
 Alongside our success in Tampa, the growth of our retail stores and long-term rental services has been nothing short of exceptional. The continuous increase of subscription highlights the market's positive reception of our products and services. And this will put us in a stronger position and is as well a strong indicator of our brands' growing appeal and effectiveness of our marketing strategies. 
 Our retail expansion is not just a sign of growth but also a driver of it. And each new store increases visibility, allowing us to tap into new customer segments and further solidify our presence in different markets. The increasing number of long-term rental demonstrates our ability to meet the evolving needs of our customers, offering them value and convenience that keep them coming back. 
 We also keep investing in technology, and our financial strategies are underpinned by a commitment to sustainability and corporate responsibility. We understand that longer-term profitability goes hand-in-hand with environmental stewardship and social responsibility. Therefore, we are integrating sustainable practices into our operations and engaging with the communities to build a better future. 
 In closing, the path of profitability is clear and well charted in front of us. And successes like Tampa, expansion in retail foot print show and will show in the next weak months, the growth in the retail services. I'm confident that with our focused approach and dedicated team. We will achieve our financial goals and set new standards in our industry. Thank you very much. 
Salvatore Palella: Okay, Gian Luca, thank you so much for your statement. And I want to talk to you a little bit more about the Tampa. When you say Tampa, the new Tampa operation that we have, explain us a little bit more about that, like what do you think is going to be the way that bring us to profitability. Why? Because I'm keep repeating here, and maybe a lot of people lost confident on what I'm saying because, of course, it was not a difficult -- it was a difficult time, but you can explain a little bit more about that. 
Gian Spriano: Well, first of all, Tampa is a big success that we started like almost 2 years ago because we applied to the city and follow like a legal case for winning and starting operating in the city. So that's the first success that we had. Second of all, we had the chance to partner with a sort of third-party company that will basically engage with us, concentrating in operation. So that will show and give us the possibility of lowering the costs and not having that burden of operation under our roof, let's say, that so far put us in a situation -- a financial situation that could be kind of dangerous. 
 So we are very happy about this model. It's working. We saw that in the first few days, there were like a super increase of rides and usage of our vehicle. So we believe that from now on, this, let's call it, a Tampa model can work pretty well around United States. 
Salvatore Palella: Okay. And Gian Luca, just to explain a little bit more about our B2B and long-term rental service that we offer also from our retail. Can you explain a little bit more why it's much easier to get profitability there? 
Gian Spriano: Well, for sure, having a location, a flag store or somewhere where people can go inside and ask a question and solve -- ask to solve problems that maybe can arise renting a vehicle for any reason, put us in a position where we are like a dedicated and neighborhood friendly shop where you can not only see someone vis-a-vis -- or face-to-face, but really, you can experience what we are doing. And in any case and any kind of problem you can have, you can be directed to our warehouses and basically have the full experience that before was kind of like left alone in the middle of [ streets and not safe ], like our customer service and people from the stores are super well trained. They know how to engage with people, how to solve any issue that can arise on the vehicle and solve the problem right away on the spot. 
Salvatore Palella: Yes. Another thing that I would like to speak today that our numbers show very, very firm is the -- how we are taking down the cost of the company. So we are carrying a lot of operation costs and we're trying to make everything profitable. Can we talk a little bit more about this and why we are cutting like tremendously cost to make sure we got profitability? 
Gian Spriano: It's a strategy that we decided to use moving forward for head partners that support our operation and not, let's say, heavy our shoulder on cost and more work, but believe in the process and trust what we are doing for, again, growing together and push on the same direction. That means having a better connection with everyone, having money that can be invested in other stores, for example, like LTR, and having visibility that support every single future project we are working on. 
 So we really believe it's something that can change like the strength of the company and will drive for sure us on profitability and having -- engaging better with communities and building the real future that we have in mind working in this market that for us, it's very, very, very important. 
Salvatore Palella: Okay. Great. I think we touch every point. Gian Luca, thank you so much to be part of this space. Maybe we should talk a little bit about the next M&A that we want to do, and so Hopium brand hydrogen. Can you talk a little bit like how you see hydrogen with the Micromobility, so it makes understand that our line -- our visionary line? 
Gian Spriano: Well, that's -- we really believe that's the future. We really believe that's the future, and batteries in vehicles are the most important part. And like part having hydrogen of course, will increase the strength of the battery, that right now can have like a short life. And so we believe that's like a partnership and an acquisition that can really push us in the future and taking us to a next level and step that we were not even thinking before, but it's really, really important for everybody in the team and everybody that believe in us. So I think this is a big, big step for all of us, and again, for the future that we have envisioned being all in this market. 
Salvatore Palella: Perfect. At the same time, we will give a separate update on the M&A at the beginning of the next week, if we can, also on Friday. Let's see how we will be, and we are going really fast on different conversations we have. And we are thinking really well. We are shooting really big. So I'm sure we will get there. And as soon we're going to be there, we will be happy to update all of you.
 Gian Luca, thank you again to join us. As mentioned in private conversation, Gian Luca will join this space more often to make sure that our vision are aligned and you guys have another voice to here to understand that we are going all in the same direction. I see a lot of people connect. Thank you so much for all of you who believe in the company and keep believe on what we're doing. Thank you, guys. 
Gian Spriano: Thank you.